Executives: Frederick Earnest - CEO John Engele - SVP & CFO Connie Martinez - Investor Relations
Operator: Good day, ladies and gentlemen. Welcome to the Vista Gold's Second Quarter 2015 Financial Results and Update on Recent Activities Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded today, Tuesday, August 4, 2015. It is now my pleasure to introduce Vista's President, CEO, and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Frederick Earnest: Thank you, Ron. Good afternoon, ladies and gentlemen. Thank you for joining Vista Gold Corp's second quarter 2015 financial results and corporate update conference call. I'm pleased to be joined on this call by Jack Engele, our Senior Vice President and CFO; and Connie Martinez, our Director of Investor Relations. Since our last conference call we have benefited significantly from efforts that started more than a year ago. Approximately $10.2 million was added to treasury as a result of refunds received from the Australian government under a research and development incentive program. Jack Engele will discuss these payments in greater detail. We remain focused on the Mt Todd gold project in Australia. We are working to obtain the authorization required under the Environment Protection and Biodiversity Conservation Act of 1999 from the Federal Government as it relates to the Gouldian Finch. and anticipate that this authorization will be granted by the end of this year. We continue to closely monitor ongoing weakness in many macroeconomic factors including foreign exchange rates, soft demand for mining and process equipment etcetera. And continue to observe positive offsets for the Mt Todd project compared to the lower gold price affecting the sector generally. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-Q for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I will now turn the time over to Jack Engele and following his discussion of the financial results, I will review our activities at the Mt Todd gold project.
John Engele: Thank you, Fred and good afternoon everyone. I'll start with a summary of our Australian R&D tax rebate. The Australian government has an incentive program to encourage industry to conduct research and development that may not otherwise be conducted. Through this program 45% of eligible R&D expenditures are refundable. Our Mt Todd gold project in the northern territory of Australia provided us several opportunities to conduct eligible R&D work which resulted in several innovations that have industry wide application. A bulk of our R&D work involved an all opinion cost effective meaning for the treatment of water in abandoned open pits. We also developed innovative and cost effective ways to improve our long term environmental protection, and to optimize metallurgical recoveries from hard ores. Our qualifying expenditures for these programs totaled AUD31 million of Australian dollars in 2012 and 2013 together. Related to these expenditures, we received a net total AUD13 million, or a total of about $10.2 million. We received the refund related to the 2012 fiscal year in June. So that is included in our June 30, 2015 Form 10-Q financial statements. The thing that related to fiscal 2013 was received in July, so it is not included in our June 30 10-Q financial statements but we do disclose it as a subsequent event in the notes to the financial statements. I will comment in a few minutes on its pro forma effect on our June 30, 2015, cash and working capital. In 2013, we curtailed our discretionary spending in an effort to conserve cash. This policy continued through all of 2014, consequently any R&D rebate that we may receive for 2014 fiscal year is not expected to be material. Turning now to our balance sheet and liquidity. Our working capital totaled $14.9 million as of June 30, 2015. This includes cash and short term investments of about $12.6 million. Our short term investments consist mainly of U.S. treasury bills. Our cash and short term investments have increased by about $8.9 million since December 31, 2014. The increase resulted from the R&D rebate of $5.9 million net of costs, and $6.3 million in total proceeds from the sale of non-core assets during the first quarter of this year. After giving effect to the $4.3 million R&D rebate that we received in July, our June 30, 2015 pro forma cash and short term investments would be about $16.9 million, and our June 30 pro forma working capital would be about $19.2 million. Turning to our statement of income and loss for the three months ended June 30, 2015, for the quarter we reported net income of $3.6 million or $0.04 per share. The income arises from the $5.9 million R&D rebate related to fiscal 2012. The R&D rebate is accounted for as grand income as opposed to an income tax recovery, that's under accounting rules. Expenses in the period included operating expenses of about $2 million and an unrealized mark-to-market loss of about $300,000 on our remaining $7.8 million Midas shares. The $2 million of operating expenses for the second quarter included about $800,000 for exploration and property holding costs principally on our Mt Todd gold project, about $200,000 for discretionary drilling and technical programs at Mt Todd, and corporate G&A cost of about $800,000. These costs were in line with our previous guidance. Looking ahead, at Mt Todd, our fixed costs of those expenditures necessary to ensure that we preserve our property rights and meet all of our safety, regulatory and environmental responsibilities are expected to average approximately $750,000 to $850,000 per quarter for the foreseeable future. We expect to be at a lower end of this range for the remainder of this year and yes, the answer to the last season, we expect to be at the higher end of this range in Q1 2016. In addition, we began discretionary drilling and technical programs at Mt Todd that are expected to cost about $1 million through the rest of 2015. Our corporate G&A cost are also expected to average about $750,000 to $850,000 per quarter for the foreseeable future. With the recent improvements to our treasury and our tight cost controls, we believe we will have sufficient cash to fund our future fixed costs into 2018. Great Panther Silver, formerly Cangold, recently announced a significant drilling program for our Guadalupe de los Reyes with a similar project in Mexico. We believe this improves the likelihood of receiving the Guadalupe de los Reyes option payments of which $1.5 million is due in January 2016. Our lockup agreement on our remaining 7.8 million of Midas expires in September, and we continue to talk to potential buyers for our used mill equipment. In summary, the company's balance sheet has greatly improved. We have addressed our liquidity needs while retaining our opportunities to access additional financing from the non-dilutive sources and retaining a 100% of the largest undeveloped gold resource in Australia. That concludes my comments. Fred will now give you an update on recent events at Mt Todd.
Frederick Earnest: Thank you, Jack. LH from the Mt Todd site include the recent achievement of three years without a loss time action. We are obviously very pleased with a safety conscious work habit of our Australian team as manifest by the achievement of this milestone. We continue to benefit from the practices and procedures developed in the year 2012 to 2013 with respect to water treatment and water management, and can report that water levels across the site are lower than at any similar time in the past several years. We hope to be able to maintain and improve upon this current status. You will recall that during the review and approval process for the Mt Todd environmental impact statement, the Federal Environment Protection Authority indicated that an authorization under the environmental protection and biodiversity conservation act of 1999 would be required with respect to the Gouldian Finch. We are working closely with SLR Consulting to satisfy all of the requirements of the Federal Environmental Protection Authority. Our team has met with the authorities on several occasions, understanding has been reached and an analysis is in progress that is expected to meet all of the agencies requirements for approval of our request for authorization. We now expect that authorization to be granted prior to the end of this year. Successful achievement of this authorization will mark a receipt of all critical environmental permits for the Mt Todd project. Jack referenced discretionary drilling and technical programs that have commenced, those familiar with Vista's activities at Mt Todd are aware that we control exploration licenses covering over 1100 square kilometers, and that we have expenditure commitments on these licenses. In recent years we have advanced work on the development of several targets and have now initiated a drilling program designed to drill test a couple of these targets. We have just started to receive assay results. Consistent with past practice, we will announce the results and provide the appropriate explanation of the relative significance of the results as results for complete holes become available. Additionally, we will continue to evaluate opportunities to improve the metallurgical recovery of gold from the Mt Todd ore and to do so more efficiently, an alternative combination circuit that has the potential to improve operating cost and recovery is being evaluated. Results of this evaluation are not expected until later this year. We continue to closely monitor macroeconomic factors that affect the project. Foreign exchange rate has dropped to the range of $0.72 to $0.73, US per AUD. This is a tremendous improvement from the parity between the U.S. and Australian Dollars that existed two years ago. This has significant favorable impacts on the operating cost of the Mt Todd project and on certain aspects of the capital cost. Soft demand for mining and process equipment has resulted in more favorable prices. We believe that these favorable changes have contributed significantly towards offsetting the impact of the falling gold price. As a result of these economic considerations, the work being done to obtain the final project environmental authorizations and other evaluations designed to optimize and improve project economics, we believe that we are in a much better position than many of our peers to move forward in an improving gold price environment. In conclusion, I want to use the same statement that I made in previous conference calls but emphasize that it is even more relevant today, weak gold prices, gold price volatility, general apathy in the gold equity market, and the need to raise capital to ensure corporate viability continue to be defining factors for our sector. But our current cash position relative to our planned expenses allows us to look beyond the present market conditions and provides confidence that we will be able to fund all of our corporate obligations and programs without the need to raise capital in the equity market at current share price conditions. This is a distinguishing factor between Vista and many of its peers. We believe that Vista continues to provide its shareholders with exceptional leverage to improving gold prices and recent improvements to treasury minimized the risk on the downside, a condition that one of our important investors call asymmetric risk. We are taking the appropriate steps in this market to position the Mt Todd gold project which is Australia's largest known undeveloped gold resource for development when economic conditions permit, and we believe that we are ahead of most of our peers in this regard. We remain focused on the efficient use of financial resources and expect to continue to maintain a solid balance sheet without further dilution to the Vista shareholder. We believe that Vista is a compelling investment opportunity, especially at current prices. This concludes our prepared remarks, and we will now respond to any questions from the participants in the call.
Operator:
Frederick Earnest: Very well, thank you Ron. Once again, ladies and gentlemen, I would just like to thank everyone for your participation in the call this afternoon. I think that you see as a result of the published financial results that Vista is in a very strong position financially compared to many of its peers. We think that is an interesting time in the gold market and certainly we believe we are better prepared to face this and to move forward than most of our peers. I realize some of you may have questions you don't want to ask in a public forum, those of you who would like to call and ask questions to management, we invite you to please feel free to do so, and we can be reached at our offices in Denver. With that I will conclude our remarks, and once again, express our appreciation for the longstanding support of our shareholders and for your participation in this call. Have a good afternoon everyone.
Operator: Ladies and gentlemen, this does concludes the conference call for today. Thank you for your participation. You may now disconnect your line.